Margarita Chun: Good morning, everyone, and thank you for waiting. I'm Margarita Chun from IR, and we would like to welcome everyone to Pampa Energia's First Quarter 2022 Results Video Conference. We inform you that this event is being recorded. [Operator Instructions] Before proceeding, please read the disclaimer that is located in the second page of our presentation. Let me mention that forward-looking statements are based on Pampa Energia management's beliefs and assumptions and on information currently available to the company. They involve risks, uncertainties and assumptions because they are related to future events that may or may not occur. Investors should understand that general economic conditions and industry conditions and other operating factors could also affect the future results of Pampa Energia and could cause results to differ materially from those expressed in such forward-looking statements Now I'll turn the video conference over to Lida Wang, Investor Relations and Sustainability Officer of Pampa Energia. Please go ahead.
Lida Wang: Good morning, everyone. Thank you for joining our conference call. We are pleased to share our first quarter 2022 results. Our CEO, Mr. Gustavo Mariani; and our CFO, Mr. Nicolas Mindlin, are both here and joining us for Q&A. Let's start with the quarter's figures. Revenues increased by 32% year-on-year to $555 million, driven by gas exports, commodity prices updated legacy prices and Energia Plus. All of them were partially offset by expired PPAs at Loma and Piquirenda and lower than inflation tariff increases in utility business. Roughly 81% of our sales were dollar linked. The adjusted EBITDA amounted to $226 million, 11% up year-on-year and 13% up quarter-on-quarter, explained by the same reasons detailed before, offset by higher expenses, intense E&P activity and lower petchem margins. Quarter-on-quarter, seasonality posted the EBITDA. As you can see, on the right below, the share between electricity and oil and gas is balancing, driven by our gas business. CapEx in Q1 almost double last year's figure, mainly due to the growing Plan Gas commitment and power expansions at Barragan and Pepe III. However, it was 30% down quarter-on-quarter because of higher diversements at PEPE III and Barragan expansions.Moving on to the power generation. As seen on Slide 4, we posted an EBITDA of $121 million in Q1, 5% up year-on-year and 15% up quarter-on-quarter, mainly contributed by higher spot prices and thermal B2B margin besides the outage that happened Barragan last year. However, this was partially offset by one of the Loma's PPA maturity and increased peso-linked expenses. Last month, spot energy prices were adjusted by 30% as of February, plus another 10% increase from June 2022. Also, the load factor coefficient was permanently eliminated. So power plants with a lower dispatch rate, just collect the full availability payment. Moving on to the Pampa power generation operating figures. Q1 was 10% up year-on-year, surpassing again industry average that only achieved 1% growth. We recorded higher thermal dispatch at almost all our units, in line with the country's reliance on thermal generation to cover the reduced hydro generation and increase local demand. The power generation business relies on capacity payments, like a take or pay. So availability is what matters most. In Q1, we reached an outstanding availability of 98% without a significant outage better than the 95% achieved in 2021. Again, Pampa's availability was way above the system availability of 74%. Regarding our thermal expansion, the closing to CCGT at Ensenada Barragan is almost 80% advanced. Most of the power grid is ready, and we continue getting ready boilers, high-voltage facilities and transformers. More than 1,000 people are working daily on this project. Nevertheless, the successful commissioning require additional time to review works carry out years ago, postponing the COD to the fourth quarter of 2020. Pepe III wind farm expansion is roughly 25% advanced. We made substantial progress in the civil works and continue working on the contract system and different permits with the regulator. We also started to install kilo piping in the foundations. The estimated COD is a split in 2 stages. The first one, 50 megawatts by February 2023 and the remaining 31 megawatts by May 2023. Now moving on to the E&P business. Even though it was an off-peak season, we posted an adjusted EBITDA of $56 million in Q1, 30% up year-on-year and 22% up quarter-on-quarter, mainly boosted by export volumes and prices, higher industrial gas demand, offset by increased costs related to the growing activity and export expenses. Our total lifting costs increased by 32% year-on-year, but it's 27% down quarter-on-quarter, explained by the increased activity to keep a high production level to export more and prepare for the 2022 cash winter commitment. Efficiency wise, lifting costs reached less than $6 per BOE, similar year-on-year and 25% down quarter-on-quarter. Our total production averaged almost 58,000 barrels of oil equivalent per day. Of that, 91% is gas. On the oil side, which represented 24% of the segment's revenue in the quarter, the volume sold was 62% up year-on-year and 12% up quarter-on-quarter, being 5,200 barrels per day. The increase was mainly driven by both local and foreign demand recovery. Oil price was almost $70 per barrel, primarily due to the exports and rather local rates. Regarding gas, as shown on Slide 8, our volumes still maintained at 9 million cubic meters per day since the [indiscernible] 2021 winter, placing the off-peak surplus on exports and local industries. Our production outperformed the industry average, which grew by 13%. And this production or performance was led again by El Mangrullo that represented 69% of the quarter's production. This block is wholly owned and operated by us with outstanding productivity boosted by its active drilling and completion of wells and the growing evacuation capacity to be ready for this winter. It was also followed by RÃo Neuquen's gains growth, which almost doubled year-on-year in addition to Sierra Chata block. Our average gas price of the quarter was $3.5 per million BTU. This is 27% up year-on-year and 14% up quarter-on-quarter. This is thanks to the export prices. Also, spot prices converge to the Plan Gas levels. The year-to-date sales breakdown now is fairly distributed, take or pay contracts -- export contracts with Chile that ended last April, step in CAMMESA and the retail due to the seasonality. It is worth highlighting that Pampa led the export market through the gas on this pipeline that connects to Chile. Also compared to last year Q1, we are growing our B2B industry share. Regarding our operations this quarter, we drilled 12 gas wells and completed 9 gas wells, all of them tight and mostly at El Mangrullo block. We expect drilling activities to accelerate even more during the winter to achieve more than 11 million cubic meters per day of production. As mentioned in previous calls, in preparation for the output search, we are expanding the gas treatment plant at El Mangrullo. This month, we are adding 2.5 million cubic meters per day of capacity. And by the third quarter of this year, the total capacity will reach above 13.5 million cubic meters per day, more than the double of last year's capacity. Okay, moving on the petchem business. We posted an EBITDA of $6 million, 67% lower year-on-year because of higher raw material costs, especially in virgin naphtha. This is offset by the significant rise in commodity prices. Quarter-on-quarter, the EBITDA is down 33%, driven by a lower volume of reforming products. Sales volume was 7% down year-on-year, mainly due to lower reforming products dispatched as [indiscernible] instead of the end product. In Q1, 37% of the sales were exports. Regarding cash flow, the free cash flow was almost breakeven because of the increased CapEx and Loma's expire PPA. This quarter, our restricted group CapEx grew to $74 million compared to $31 million last year. Although we are raising our expansion CapEx in the core business, they are self-financed by their outstanding operating performance. Note that working capital is negative this quarter, mainly driven by CAMMESA's delay in payments. In addition, we incurred debt for $33 million, mostly from the green bond. In summary, we generated $34 million of net cash in the quarter, achieving $607 million of cash position by the end of March. Additionally, we continue divesting noncore businesses. We are transferring our stake in Venezuela oil blocks, ensuring a clean exit for Pampa. Pampa will collect 50% of any potential compensation from these blocks. Moving on to the Slide 11. This slide shows the consolidated these figures, including our affiliates at ownership, but let's focus on the restricted group that reflects the bond parameter. We posted a gross debt of $1.5 billion, 97% dollar-denominated bearing an average interest rate of 7.8%. The average life decreased slightly to 4.1 years. During the quarter, we issued our first green bond in pesos equivalent to $28 million due in 18 months to finance our PEPE III expansion. However, net debt, very important, decreased to $845 million. The net leverage ratio remains similar at 1.2x. In the next 12 months, the company just faces less than $20 million of maturities. Therefore, we expect to keep strengthening our balance sheet and focusing the investment on our core businesses. So this is the end of our presentation. Now I will turn the word to Margarita, who will open the floor for questions.
A - Margarita Chun: Thank you, Lida. [Operator Instructions] The first question is regarding the new gas pipeline, Nestor Kirchner. The question comes from Anne Milne and Frank McGann of Bank of America and Bruno Montanari of Morgan Stanley. There are 3 questions. First one is the expected timeline of the new pipeline? Second one is Pampa's perspective given the new pipeline. And the third one is, if there is no transportation limitation, what will be the expected production for 2023 and 2024?
Gustavo Mariani: Okay. I prefer the question one at a time. I'll do my best. Regarding the timeline for the Nestor Kirchner pipe, the news is that the pipes for the construction has already been awarded. And as far as I understand, the supply of those pipes are in a way that makes the feasibility of having the pipe -- or having the new pipeline ready for next winter, a possibility. What has not been yet published is the bidding document for the construction of the pipe. We are expecting those documents or the bidding process to be -- to start anytime in the next few weeks. So assuming that, that happens and assuming that once they publish the bidding documents, bidders will have about 30 days to prepare their offers and a few more weeks to -- for the government to decide to which a construction company award the project. If all that process happens in the next 1.5 months, so that by mid-July, the construction companies are awarded, there is a possibility of having the new pipeline ready by next winter. It's a very tight schedule. So everything has to happen very soon and without any major complications, but it's still possible to reach -- to have the new pipeline ready that will add 11 million cubic meter more of production -- evacuation capacity out of the Neuquen Basin for next winter. It's only 11 because it's without any compression. It is already known that it won't be able -- the compression plants won't be ready for next winter. Those plants will be ready a few months after. So for winter of 2024, this pipeline with compression will be providing 20 million, 22 million cubic meters natural gas per day additional to the existing capacity. The other 2?
Margarita Chun: Thank you, Gustavo. The second question is about the perspective of Pampa's participation in this new pipeline?
Gustavo Mariani: Well I assume that that after awarding the construction of the pipe, the government will be making a new round of Plan Gas billing process in order to fill this new pipeline. So we will participate in that process, and we are eager to gain a portion of those 11 cubic meters of additional production from the new in the Neuquen Basin.
Margarita Chun: And the last question was about, if there is no transportation bottleneck, what will be the potential of E&P in the case of Pampa?
Gustavo Mariani: We have a huge potential to continue growing short term, meaning for next winter or for the winter of 2024. I would say that we have the possibility to double our current production. We are currently at 11. So beginning 2 weeks ago, we finished some early production facilities that grew the available capability in El Mangrullo. Thanks to that, now we are producing close to 11 million cubic meters of natural gas per day. Could we double that production level in 2 years? Yes, that's totally feasible for Pampa, maybe a growth of 40%, 50% for next winter and another in the following year. But whether we go to those levels or not will depend on how successful we are in the bidding process of the next round of the Plan Gas and how much volume we are awarded there. So we have the capability to continue to grow it at the same pace that we have been growing recently. As said whether we go there or not, will depend on -- if we are successful in the auction.
Margarita Chun: Thank you, Gus. Our next question comes from Bruno Montanari from Morgan Stanley and Marina Mertens from AR Partners. They are -- they would like to know about the expectations for gas exports in the coming quarters. And if there is additional gas export permits in place right now?
Gustavo Mariani: Firm gas exports ended at the end of April. So we had exports from October of last year until the end of April. Starting May 1, there are no longer any firm exports awarded to anybody in the industry. From October to April, as Lida has just explained, we have been very -- a very important participant in the export market. We have been exported about 3 million cubic meters of natural gas per day. So roughly 30% of our total production. We hope and we would like to continue with same level of export starting in -- again, in October of this year. And so, during the summer months that goes from October until next April but whether we are successful on that or not, we don't know. During the winter, theoretically, there should be no export -- sorry, let me rephrase that. During the winter, there are no firm exports, but there are spot exports that will depend on 2 things; as is happening this first 2 weeks of May, we have very mild weather. So Argentina is currently exporting gas to Chile at a price that is -- it has to be because of regulations north of $7.30 -- $7.35. And we are currently exporting close to 1 million cubic meters of natural gas per day. As the weather gets colder, there will be more consumption in Argentina. So those exports to Chile should be -- should end. But we believe that this winter, the production capacity -- the production of the Neuquen Basin will be slightly above the evacuation capacity out of the Neuquen Basin. So there will be small quantities of gas that will not be able to be consumed in Argentina. So if that happens and for those producers that have capability to produce in excess of their commitments with the Plan Gas and with the local sales to the industry, so there could be marginal spot exports to Chile during the winter. So that's the situation regarding the exports -- the export market.
Margarita Chun: Thank you, Gustavo. Our next question is the same from Bruno Montanari. He would like to know also about the oil export potentials for Pampa.
Gustavo Mariani: Regarding oil, we don't expect any major change in terms of quantities produced are about the same that you have seen in this first quarter, there has been a significant increase from previous year. But we are not expecting any significant growth going forward and the share of our exports that's been roughly about 30%, 35%. There could be a slight increase in that percentage of oil exports, but no, we would not expect any major change to what you have seen in the first quarter.
Margarita Chun: Thank you, Gustavo. Our next question comes from Frank McGann from Bank of America and Marina Mertens from AR Partners. They would like to know if we have further PPAs potential -- upcoming PPAs in the renewable market besides PEPE III expansion?
Gustavo Mariani: We are all the time monitoring the market because we would like to continue growing our share of renewable energy that we produce. So after the 80 mega, we don't have anything on the pipeline. So as you know, we are building this 80 megawatt expansion in PEPE III, that will be -- that will come online the first 50 megawatts in early next year, probably February of next year, and the other 3 megawatts by May about early second quarter of next year. We don't have anything on the pipeline, but we are all the time monitoring this market, which is extremely competitive. We have very aggressive colleagues in this market, and we are probably a little bit more picky on the IRR of the projects that we want to go after. So monitoring all the time that segment, but we don't have anything confirmed besides the 80 megawatts that we are currently working on.
Margarita Chun: Thank you, Gustavo. Our next question comes from several people. They are Marina Mertens from AR Partners; Florencia Mayorga from MetLife, Alejandro Demichelis from Nau Securities; Alejandra Andrade from JPMorgan; and Victor [indiscernible] from STX. And the question is about the 2023 bond.
Nicolas Mindlin: Okay. So as you may know, there is a regulation in place until December 2022, that allows companies to pay 40% of capital maturities and refinance the other 60%. So since our 2023 bond is not reached by the current regulation, we will need an agreement with the Central Bank in order to execute a deal. We are actively analyzing alternatives regarding our 2023 maturity. And it should be quite reasonable to expect a liability management sooner than later, but that will depend on us getting the approval of the Central Bank. So the main objective of this we need to have an even more stronger debt profile and a clean path to continue investing in our core business and in the gas segment during the next few months and years.
Margarita Chun: Thank you, Nico. Our next question comes from Martin [indiscernible]. And he would like to know what are your plans -- drilling plan for the remainder of 2022 in terms of new wells? What are you thinking about exploration or new areas? Are you going to need more facilities in the near future or are you already okay with existing infrastructure and the 13.5 million cubic meters per day of treatment upgrade?
Gustavo Mariani: Regarding facilities, we are currently -- we have been working for the past 1.5 years, I think, already on a big expansion in El Mangrullo, a new gas treatment plant for almost 5 cubic meters of natural gas per day. That plant will be ready by the end of this winter. So that will elevate the production capacity out of El Mangrullo from current EUR 8.5 million to about $13.5 million. That's just in El Mangrullo. And adding all the rest of the areas where we operate and produce, we have roughly about 16 million, 17 million of production capacity without building new facilities -- not without building new gas plant. Obviously, we will have to build a -- it would have to be some surface infrastructure but no big gas treatment plants. And regarding drilling, we have just finished the campaign we are finishing the campaign that elevated our production capacity from the level of 9 million cubic meters per day that has been what we have been producing throughout all the summer in the third quarter of last year and the first quarter of this year. And now we are producing 11 cubic meters of natural gas per day. And we will stay at those levels until early next year. But we will begin a new campaign in order to be ready for in order to -- as you know, keep production at these levels. You know that in this industry, you need to drill all the time in order to maintain your production, and we will be ready to grow production. We want to be ready to grow production in case we are awarded in the next auctions. So we will be doing a drilling campaign in Sierra Chata that's the area where -- that we share with ExxonMobil that we operate. And we also be drilling -- we will have a drilling campaign in El Mangrullo in order to have [indiscernible] available for next winter.
Lida Wang: So one of the questions, roughly saying, what is left for the remaining of the year? It's 25 wells to be drilled and completed.
Margarita Chun: Thank you Gus and Lids. The next question comes from Marina Mertens from AR Partners. By how much should power generation EBITDA drop following Ensenada Barragan PPA maturity? And how much should we offset by the commissioning of the 280 megawatt?
Lida Wang: Well, so full year, before the PPA expire was 160 megawatt -- $160 million per year. Now that the PPA, the old PPA expire and the new PPA is ramping up by the third quarter, fourth quarter of this year, pro forma a year for, it's around $130 million of EBITDA, bulk -- the combined cycle.
Margarita Chun: Thank you, Lids. [Operator Instructions] Our next question comes from Lilyanna Yang of HSBC. What prices would you need to see in coming Plan Gas auctions so as to support production volume growth? Could you remind us of gas export prices you think you can get going forward?
Gustavo Mariani: [indiscernible] for prices?
Lida Wang: [indiscernible] it's already done. For Plan Gas potential prices -- upcoming Plan Gas auctions.
Gustavo Mariani: For this 11 million of the government has yet to decide how many of those 11 million, they will like them on a flat basis. So throughout the year or just for the winter period. So a portion of those 11 million will be -- the government will want them on a flat basis and a portion will want them just for the winter. So for the flat portion, I expect something similar to Plan Gas -- to the first Plan Gas. I suspect that the government will put a ceiling price similar to the previous one. The previous one was $3.70. For this -- the fact is that despite the fact that this -- even if -- for that portion that is auctioned on a flat basis throughout the year, the fact is that the industry needs to take into account the amortization of all the new facilities that are needed to be built in order to supply that gas plus treatment, pipelines, et cetera and et cetera. So probably, the price ceiling will be north of the $3.70 that was issued for the first round of the Plan Gas. Regarding the winter price, it's difficult to say, but it's going to be high -- obviously higher than that. And it's difficult to say but because it will depend on whether it is match with firm exports to the neighbor countries, that will reduce the price and make it more similar to the flat portion of the -- to the flat portion. And what else?Regarding gas exports to Chile, during this winter, as I said, there is a resolution from the Secretary of Energy that the floor price for those exports is $7.35. But again, exports of gas to Chile during the winter is going to be very, very marginal for us and for the industry as a whole. And starting in October, we expect a similar price as the firm exports that we had this year around north of $5 for the summer.
Margarita Chun: Thank you, Gus. Thank you for the questions. This concludes the Q&A section. So we will turn to Lida for final remarks.
Lida Wang: I don't know, Gus, would you like to say something more that nobody ask, Nico, no? Well, this ends our presentation for Q1. Anything that you have or any question that comes to your mind after the call just reach us out, we are always available for you. Thank you for joining us, and have a good day.